Executives: Stephen F. Fisher - Chief Financial Officer and Executive Vice President of Operations David J. Field - Chief Executive Officer, President, Director and Member of Executive Committee
Operator: Good morning, and welcome to Entercom's Fourth Quarter 2012 Earnings Release Conference Call. [Operator Instructions] This conference call is being recorded. I would like to introduce your first speaker for today's call, Steve Fisher, Executive Vice President and CFO. Sir, you may begin.
Stephen F. Fisher: Thank you, operator, and good morning, everyone. And for those in the northeast, we recognize the burden of today's snowstorm. We only have rain in Philadelphia, but good luck to New York and Boston. Before we begin today's call, I'd like to make a note that this call is being recorded and a replay will be available in our company website shortly after the conclusion of the call, also available by telephone at the replay number noted in our release. With the notice of today's call, we ask that you submit your questions in advance of this call to the email address, questions@entercom.com. In addition, I'm always available for any follow-up questions, if you wish to call me directly at (610) 660-5647. Now should the company today make any forward-looking statements, such statements are based on certain expectation and involve risks and uncertainties. The company's actual results could differ materially from those projected. Additional information concerning factors that could cause actual results to differ materially is described in the company's SEC filings on Forms 10-Q, 10-K and 8-K. The company assumes no obligation to update any forward-looking statements. During this call, we may reference certain non-GAAP financial measures. We refer you to our website at entercom.com for a reconciliation of such measures and other pro forma financial information. So with that housekeeping, I will turn the call over to David Field, President and Chief Executive Officer.
David J. Field: Thanks, Steve. Good morning, everyone. Thanks for joining today's Entercom earnings call. I'll start with a summary of the quarter's financial highlights, followed by some color on recent developments in Q1 pacings before turning it over to Steve and your questions. I'm pleased to report that Entercom, again, posted strong double-digit growth in station operating income and EBITDA during the quarter. Entercom's fourth quarter revenues were up 7% to $102.1 million. Station expenses were up 2% to $61.7 million. And as a result, Entercom's adjusted EBITDA climbed 17% to $35.3 million for the quarter. For the full year 2012, Entercom's revenues were up 2%, while expenses declined 4%, resulting in a 15% increase in adjusted EBITDA. Now a lot of good things happened during the quarter. We gained revenue share, margins continued to expand significantly, local revenues continued to improve sequentially, and we're up low-single digits for the quarter, while national revenues declined a bit. Political revenues, obviously, surged during the quarter, but we also achieved strong growth in a number of categories led by financial services, health and medical, home furnishings and improvements, telecom and travel. Automotive spending was also up for the quarter. The best performing markets during the quarter were Denver, Indianapolis, Norfolk, Milwaukee and Seattle. Fourth quarter results were slightly impacted by our second quarter acquisition of KBLX-FM in San Francisco. Excluding the impact of this acquisition, Q4 revenues would have increased by 6%, while our cost would've increased by less than 1%. One other data point for you, excluding both the acquisition and political spending, Q4 revenues were up 2%. Now turning to expenses. As Steve mentioned on our prior earnings calls, we expected our expenses for fourth quarter to increase slightly over the prior year, reflecting acquisition-related expenses and a comparison to a year-ago period when we took significant cost-reduction actions. For the full year of 2012, prudent expense management and reinvention enabled us to drive expenses down 4%, notwithstanding the additional acquisition-related costs. We continue to pursue smart and sustainable ways to reinvent our business model to drive expenses down while continuing to boost our investment in new brands and content, expanded distribution, enhanced digital platforms, stronger operating systems and sales product development. These investments are enhancing our capabilities and boosting our future growth prospects. We also continue to delever and have now reduced our outstanding debt by more than $400 million over the past 5 years. As a result, we entered 2013 with a strong balance sheet, plus an outstanding line of great brands and content and a powerful array of emerging digital platforms. We continue to post strong ratings results in most of our markets, most notably Denver and Sacramento, where our stations ranked first, second and third among adults 25 to 54. In addition, in Rochester, we hold 3 of the top 4 stations among adults 25 to 54. We are also achieving solid ratings growth across most of the new brands, which we launched across the country over the past couple of years. In addition, we are highly enthused by a number of positive industry developments over the past few months, which bolster the industry's future prospects. Industry research continues to show robust radio listening levels, while recent announcements by Sprint, Nielsen and others reaffirm radio's importance in today's media landscape. Sprint announcement was quite significant as it marks an important step forward in achieving large-spread FM chip distributions in smartphones. Results have been more good news on distribution as HD radio penetration continues to ramp up as automotive adoption of HD accelerates. It's also worth noting that our free cash flow grew in the quarter for the first time in a year, which we have now cycled through the impact of our 2011 financing and are beginning to benefit from the savings on the repricing of our bank loan this past quarter and our continued debt reduction. In fact, our trailing 12-month free cash flow per share of $1.67 represent a 22% free cash flow yield based on yesterday's closing price of our stock. Turning to the current business climate. First quarter pacings are currently down low single digits. First quarter business started sluggishly, perhaps impacted by fiscal cliff and sequestration concerns. In fact, we recently received a cancellation from the U.S. Army for their advertising due to the likely prospect of sequestration. But as most of you know, pacings are notoriously difficult to gauge this early in the year as the timing of business placement can be distorting. I would note that our pacings are stronger as we look ahead to March in Q2, and we remain optimistic on 2013. And a final note, the public's usage of radio continues to grow and remains robust. Radio is one of America's 3 dominant reach media and offers a unique combination of enormous reach, strong local activation, powerful audience engagement and superior cost-effectiveness. Radio also benefits from very limited fragmentation from satellite and Internet competitors and no impact from DVRs. Finally, it is worth noting, the emergence of newly enhanced PPM-driven methodologies used in media mix modeling is demonstrating much higher efficacy from radio advertising campaigns than previously understood. The opportunity for significant growth in radio share of ad buys is dramatic, as advertisers begin to adopt the new media mix modeling tools. More to come on this important topic in the future. So to summarize, we delivered a strong fourth quarter to complete a year of solid double-digit EBITDA growth, our balance sheet is strong and the best it has been in many years, ratings are generally good while margins continue to expand, radio listening is robust, and recent industry developments have been very positive improvements in media mix modeling could emerge as an important catalyst to industry growth. Finally, while advertising started the year sluggishly, we are encouraged by the pacing trends over the next few months. With that, I'll turn it over to Steve for some additional thoughts before we turn to your questions.
Stephen F. Fisher: Thanks, David. You just mentioned the headline, fourth quarter revenues were up by 7%, but quite a few people had questions about political. So let me address those right upfront. To give you additional color on political revenues, they were $4.7 million in the fourth quarter, and that compared to about $600,000 in political for the fourth quarter of 2011. Again, $4.7 million in Q4 '12, about $600,000 in Q4 '11. And for the full year, total political revenues were about $7.2 million, again, full year 2012. And that compared to about $1.5 million in the prior year. David, I think, quickly covered our cost highlights for the fourth quarter. I'd like to, again, emphasize the point that our full year 2012 cost declined by 4%, reflecting our ongoing cost reengineering efforts. And then to circle back to the fourth quarter, I'd like to highlight that our margins grew to -- station margins grew to almost 40%. And that's one of the highest fourth quarter station margins the company's posted in recent years. David also mentioned an important step in the fourth quarter, and that was the repricing of our Term Loan B credit facility. We achieved a reduction on an ongoing basis of at least $4 million, we believe, in that facility as a result of the financing -- the repricing. A side note, as a result of this repricing and refinancing, we had a noncash charge in the fourth quarter of about $750,000 to write-off a portion of the prior financing cost from the earlier facility. Our tax rate for the quarter and for the year are higher than our normalized GAAP tax rate expectations, which are in the low 40% range. Again, that's GAAP taxes. And this is due to a few adjustments from prior periods and also items, which do not get favorable tax treatments. Again, our GAAP tax rate for tax provisioning in the low 40% range. And as we told you many, many times, that's a tax provision rate, not actually what we pay. The company is not a current taxpayer and doesn't expect to be for the foreseeable future. 2012 was a great year in lowering -- in making progress on lowering our outstanding debt and leverage. Solid operating performance and strong free cash flow allowed us to reduce outstanding senior debt, net of cash, to right around $561 million at the end of the year. All that, while even investing $25 million in the FM station in our largest market earlier in the year. And we've made great progress on our leverage, ending the year at 4.8x leverage, well below our 7x leverage year-end for our bank covenant. Capital expenditures for the quarter were $1.9 million, which brought full year CapEx to about $3.7 million. There's timing differences. With projects moving around, we do expect 2013 capital expenditures to be around $6 million. A few other line items for 2013 for your models, before I go to your questions. We'd expect 2013 station operating expenses to be up 1 or 2 points versus 2012. This small increase is primarily a factor of comping against the onetime $2 million music license fee credit that we realized and talked to you about for the third quarter of 2012, plus the full year impact of operations of our acquisition in San Francisco. We made committed to further enhancements to our cost model, that will continue to drive shareholder value in the future. I believe our corporate G&A line for the year should be pretty close to the Remnar [ph] rate experienced in the past few quarters. I'd expect noncash compensation expense for the year to decrease to about $5 million. Now before we go to your questions, I'd like to, again, hit the highlights, that as I look at it, on our fabulous business model in the free cash flow story. A reduction of debt by $400 million since 2007 through the recession. Leverage reduced under 5x. Our credit facility that's lowered interest expense for 2013 and has further potential for rate reductions into the future. Favorable tax yields in the foreseeable future, again, generating free cash flow for shareholders. And as David mentioned, $1.67 in free cash flow for 2012 for yield over 20%, and the potential to grow that free cash flow in the future through operations and delevering. Let me now go to the questions that were submitted in advance. David, I'll take several of these. And several asked the same questions, so I may bundle some of these.
Stephen F. Fisher: Marci Ryvicker at Wells Fargo asked how much business is booked for the first quarter? And let me ask the follow-on question, how much visibility do you have in the second quarter?
David J. Field: The -- let's start with the first quarter. We -- at this point in time, about 80% of our revenues are booked. And as we look to second quarter, I'm always hesitant to look far down the road, because as we know, the visibility is limited, but where we stand now, revenues are pacing up, low-single digits for second quarter.
Stephen F. Fisher: I'll get back to some further questions from Marci in a moment, but let me go to a question from Mike Kupinski at Noble Financial Group. One of his question was, are we seeing any disparity between larger markets and smaller markets as it -- particularly, as it relates to national?
David J. Field: No, we're really not.
Stephen F. Fisher: All right. Let me come back to a question from Marci that was also mentioned by quite a few others beforehand. And that is, any more color on the Sprint announcement that you might like to give? And how might the industry monetize that breakthrough?
David J. Field: I think it's exciting to be looking down the road and seeing a rapid increase in penetration on the Sprint phones, as we look over the next couple of years. And what it means for us, I think, is by providing better access to our listeners, we would expect there to be a bump in radio listening levels going forward. And we also think that as penetration increases, it opens the door for significant potential revenues in the form of enhanced advertising. And when you think about the unique opportunities to combine radio with mobile-based advertising services, we think that there is a significant upside for revenues as we go down the road.
Stephen F. Fisher: Looking to the future, because that's a nice segue to question from Avi Steiner at JPMorgan. What's your outlook for 2013 and beyond for radio on the revenue side?
David J. Field: Well, look, I mean, we've always known, and we've talked about for many years the fact that radio has been the most undervalued medium in the land. The challenge has been how do you fix that disequilibrium? What's of the catalyst? And, obviously, over the last few years, there -- we have been -- we basically been holding our own, but unable to capitalize on that upside. But as I look at the developments over the course of the last few months, you look at, a, the industry ratings continuing to be very, very strong and then increasing recognition of the divergence between radio usage and the basic radio advertising model versus other traditional media. You look at the Nielsen acquisition of Arbitron and what that portends, you look at the Sprint announcement and the future there, you look at media mix modeling, which I talked about earlier, and this format doesn't lend itself to an extensive coverage of that. But the opportunity for radio to demonstrate far greater efficacy with major advertisers than in the past, primarily due to the availability of PPM data and improving software technology, I think, could be a significant upside with major advertisers. And I also want to tip to my cap to Clear Channel, who I think has been taking a much more important role in evangelizing and telling radio story and investing in research and marketing and potentially changing the game in terms of how advertisers view radio as a category. So bottom line is I think there are now more potential catalysts in play than we've seen in quite some time. And the opportunity is there for radio to begin to realize on some of its upside. And I don't think necessarily there'd be changes tomorrow, but I think the broad trend lines are very good, and I think the future is quite bright.
Stephen F. Fisher: Let me take a couple questions myself on the balance sheet, and then David, I'll come to you as it relates to the balance sheet going to the future, specifically for the company. Question came in that, obviously, noted our refinancing in the fall, which reduced interest rates. Question is, is there potential for further refinancing of debt in the future, and when we -- might we consider that? And then I'm going to answer myself. Her cited question was the company's debt target leverage. First off, we will look continuously at our 2 facilities, our senior and our senior notes. Our senior notes have about 3 more years on the note call. I would expect this fall, we would relook again to see if on the Term Loan B, we can achieve some further refinancing benefits for the company at that time. So we'll be back to you at the fall as we look at that. As to company's target leverage, we've been out publicly talking about that in the 4x to 4.5x range. Obviously, we've had a breakthrough in being under 5x at the end of this year. And David, let me turn, I think, for our concluding question, which ties this together, talking in the balance sheet. Several people have noted with our leverage, with the health of the balance sheet and the performance of the free cash flow, what's the company's future expectations on use of the free cash flow? Will there be capital returns or still continue debt paydown?
David J. Field: Look, for now, we're going to continue as we've been doing for the last few years to focus on delevering. And as you just noted, we have a target to get down into that 4.5x and lower range. We seem to be rapidly approaching those levels when these conversations come into play, so it's a possibility that we would look at potential dividends or other forms of repatriation of cash as we get into that range. But that is still down the road, though we'll look at all our options as we always say, and whatever will be in our shareholders' best interest. But I think whatever we do, one thing we can say for sure is that we will not be looking to do anything that will stress our balance sheet, but it's nice to have some options as we look down the road here.
Stephen F. Fisher: So I think that concludes the call today. I believe we answered most of the other questions that came in our prepared remarks. Thank you for your participation in today's call.
David J. Field: And thanks, everyone. Good luck with the snow, and we look forward to reporting back to everyone in 3 months.
Operator: Thank you for participating in today's conference call. You may disconnect at this time.